Operator: Thank you for standing by. This is the conference operator. Welcome to the IAMGOLD Corporation Fourth Quarter and year-end 2024 operating and financial results conference call and webcast. As a reminder, all participants are in listen-only mode, and the conference is being recorded. During the conference call, at this time, I would like to turn the conference over to Graeme Jennings, Vice President, Investor Relations and Corporate Communications for IAMGOLD Corporation. Please go ahead, Mr. Jennings.
Graeme Jennings: Thank you, operator. Welcome everyone to our conference call today. Joining us on the call are Renaud Adams, President and Chief Executive Officer; Maarten Theunissen, Chief Financial Officer; Bruno Lemelin, Chief Operating Officer; Dorinda Quinn, Chief People Officer; and Annie Torquiel Lagasse, Chief Legal and Strategy Officer. We are calling today from IAMGOLD Corporation's Toronto office in Canada, which is located on Treaty 13 territory on the traditional lands of the many nations including the Mississaugas of the Credit, the Anishinaabe, the Chippewa, the Haudenosaunee, and the Wendat peoples. At IAMGOLD Corporation, we believe respecting and upholding indigenous rights is founded upon relationships, trust, transparency, and mutual respect. Please note that our remarks on this call will include forward-looking statements and refer to non-IFRS measures. We encourage you to refer to the cautionary statements and disclosures on non-IFRS measures included in the presentation and the reconciliations of these measures in our most recent MD&A, each under the heading, Non-GAAP Financial Measures. With respect to the technical information to be discussed, please refer to the information in the presentation under the heading Qualified Person and Technical Information. The slides referenced on this call can be viewed on our website. I will now turn the call over to our President and CEO, Renaud Adams.
Renaud Adams: Thank you, Graeme, and good morning, everyone, and thank you for joining us. Last year was a monumental year for IAMGOLD Corporation as the company achieved critical milestones that have positioned the company as a dynamic, modern, multi-asset, material gold producer with significant potential for free cash flow growth and expansion. IAMGOLD Corporation finished 2024 with total attributable gold production of 667,000 gold ounces, a 43% increase from the prior year and in line with our previously raised guidance estimates. This performance was driven by the successful startup of Côté Gold as well as exceptional operational output from Essakane and Westwood. Financially, the company took significant steps to improve its financial position and capitalize on the strong operating results and robust gold market. Highlights in the year include the completion of the repurchase agreement to return to the 70% interest level at Côté Gold, the successful net delivery and completion of half the legacy gold prepayment arrangement, all while still generating total adjusted EBITDA for the year of approximately $781 million, and further strengthening our balance sheet and financial flexibility with the bolstered credit facility resulting in us ending the year with total liquidity of approximately $767 million and the expectation of increasing free cash flow this year. Additionally, last night, alongside our financial results, we disclosed our updated mineral resources and reserve estimate. The highlights of which were a significant increase in ounces and grades at our Nelligan project, located in the Chibougamau region. With the update, Nelligan is now among the top largest gold deposits in Canada and is expected to continue to grow, all while being located in a top-tier mining jurisdiction. Another highlight from the mineral resources update was at Essakane, where the teams were able to increase the mineral reserves after accounting for depletion, suggesting an added potential year of mine life for this strong cash-flowing asset. Over the last few years, IAMGOLD Corporation has seen the rapid growth of value production and mineral resources within Canada, where now today approximately 80% of our measured and indicated ounces and 90% of global inferred ounces are located in Canada in well-established mining jurisdictions. In the near term, our goal is clear: to ramp up Côté Gold to a steady, sustainable state operating at the nameplate throughput level of 36,000 tons per day in the fourth quarter of this year, while maximizing our measured and indicated resources at Côté Gold in support of a technical report in 2026 that would outline a unified mine plan based on Côté and Gosling. Meanwhile, we will continue safe mining activities at Essakane and Westwood to maximize production while managing our cost drivers, with a focus on cash flow margin preservation. Should the current gold price environment remain in place, by the middle of this year, we anticipate we will have our gold repayment facility behind us with Côté, Essakane, and Westwood capable of generating record cash flow, and conceptually well-positioning IAMGOLD Corporation to begin the process of deleveraging its balance sheet starting with our high-cost debt vehicles to further refine our capital structure and moving closer to our goal of becoming a leading modern Canadian gold producer with a strong balance sheet and assets that are poised to generate significant value for our stakeholders, communities, and investors. Looking at the highlights from the year and the fourth quarter, at IAMGOLD Corporation, we strive to be amongst the leaders in health and safety, talent development, and ESG, including tailings management, water stewardship, and community well-being. Looking at last year as a whole, our total recordable injury frequency rate was 0.63, an improvement from the prior year. Ensuring all of our employees and contractors go home safely will always be the primary focus for IAMGOLD Corporation, and to succeed, every gold ounce produced has to be done safely. On production, in the fourth quarter, the company produced 177,000 ounces, bringing total annual production to 667,000 ounces on an attributable basis, in line with our guidance, which was raised midyear to 625,000 to 715,000 ounces. Total annual production in 2024 was 43% higher than 2023, driven by a strong first half at Essakane, a near-record year at Westwood, and the startup of Côté Gold, which produced 124,000 ounces to our account in the first nine months of operation. Cash cost per ounce sold, excluding Côté, was $1,176 for the year, at the low end of our guidance range of $1,175 to $1,275, and $1,393 per ounce for the fourth quarter. All-in sustaining cost per ounce, excluding Côté, was $1,725 for the year, trending towards the low end of our guidance range of $1,700 to $1,825, and $2,071 for the fourth quarter. Cash costs and AISC increased quarter over quarter through 2024. This was primarily associated with rising waste stripping and lower relative grades at Essakane as the mine opened up and started mining a new phase, as per the mine plan. On an annual basis, while costs are in line with the prior year, they remain relatively high due to continued pressure on supply chains within Burkina Faso, as well as sustained elevated prices on certain consumables and labor. With that, I will pass the call over to our CFO, Maarten Theunissen, to walk us through our financial results and position.
Maarten Theunissen: Thank you, Renaud, and good morning, everyone. In terms of our financial position, at the end of the year, IAMGOLD Corporation had $347.5 million in cash and cash equivalents, and net debt of $859.3 million. The company has $220 million drawn on the credit facility and approximately $418.5 million remains available, resulting in liquidity at December 2024 of approximately $767 million. We note that within cash and cash equivalents, $46 million was held by the Côté Gold UJV, $130.2 million was held by Essakane, and $160 million was held in the corporate treasury. As we highlighted last quarter, but worth reiterating, Essakane paid a dividend during the second quarter of $180 million, of which the minority interest portion and withholding taxes were paid during the second quarter, and the company received a total dividend of $151.9 million. On November 30, 2024, the company issued a payment of $377.7 million to complete the repurchase of the 9.7% interest of the Côté Gold mine that was transferred to Sumitomo through the Côté Gold joint venture amending and funding agreement, returning IAMGOLD Corporation to its full 70% interest in Côté. The repurchase payment was funded through available cash balances and amounts available under the credit facility. On December 23, 2024, the company announced that it closed the sale of its 100% interest in the Karita gold project and associated exploration assets in Guinea for gross proceeds of $35.5 million. The definitive agreement to sell the Diakha-Siribaya Gold Project in Mali expired on December 31, 2024, and was not extended. The company is pursuing alternative options for the sale of this asset. Finally, as of today, the company has completed over half of its gold prepay obligations, having delivered 75,000 ounces into the 2022 gold prepayment range, of which 37,500 ounces were delivered in the fourth quarter, and a further 12,500 ounces during January 2025, reducing the outstanding balance of all prepay arrangements to 62,500 ounces as of January 31, 2025. The company received $10 million in cash in the fourth quarter and $38.9 million for the year as part of the delivery of obligations. Please refer to the liquidity outlook section of the MD&A for further details. Looking at our annual financial results for 2024, we saw the impact of strong gold production and record realized gold prices, resulting in the company realizing higher margins and generating higher operating cash flows during a critical year for the company. Revenues from operations totaled $1.6 billion for the year from sales of 699,000 ounces at a record average gold price of $2,330 per ounce. After accounting for the impact of the gold prepays, the strong operating results and gold price resulted in another year of increased adjusted EBITDA, which totaled $780.6 million in 2024, double the 2023 value, while Côté is still in the early stages of ramp-up. Net earnings were $819.6 million for the year and include a reversal of prior impairment on Westwood of $455.5 million as a result of the improvement of the value of the operation, compounded by an update to the long-term gold price assumptions. Adjusted earnings were $296 million. On a per-share basis, adjusted earnings per share for the year totaled $0.55, a notable increase from the prior year of $0.09. Looking at the cash flow reconciliation for the year offers a good visualization of the major drivers of our available liquidity to the end of 2024. Operating activities fueled by strong operations at Essakane and the start of production at Côté were adjusted for the impact of the gold prepaid deferred revenues and prepaid proceeds in the first half of the year. Investing activities in 2024 were primarily driven by the completion of construction at Côté and sustaining capital spend in our projects. Financing activities were bolstered by the share issuance in May 2024 at a price of $4.17 US per share, combined with drawdowns on the credit facility to fund the repurchase of the 10% interest in Côté from Sumitomo and working capital requirements. As we look to 2025, we believe we have a good opportunity to further improve the strength of our balance sheet should the gold market remain strong. As we saw in the prior page, the company currently has a $400 million term loan that carries relatively higher interest. This year offers an important milestone as the term loan can be repaid in $20 million tranches at any time, and after May 2025, at a 104% repayment premium, followed by a 101% premium if repaid after May 2026, and 100% thereafter. Once the gold prepayments are behind us, the strong expected cash flows will position the company to reduce our debt carrying costs and levels. And with that, I will pass the call back to you, Renaud.
Renaud Adams: Thank you, Maarten, and congratulations again on your team's achievement last year. Starting with Côté Gold, I want to congratulate the team for their commitment and dedication to the safe ramp-up of Côté Gold. Since first gold, the mine has shown a systematic increase quarter over quarter in throughput and gold production. In the first year of operation, Côté Gold produced 199,000 ounces on a 100% basis. Looking at the fourth quarter, Côté produced 96,000 ounces on a 100% basis, which was a 41% increase from the prior quarter. A year ago on this call, we called for initial gold production in late first quarter, commercial production achieved in the third quarter of 2024, and set the target for Côté to exit the year at a throughput rate of approximately 90% of nameplate. We were able to achieve the first two of these milestones, with the mine achieving amongst the quickest ramp-ups to commercial production for a large-scale open-pit gold mine in Canada. Despite these successes, Côté was unable to sustainably exit the year at 90% throughput. In our early estimates, production guidance of 220,000 to 240,000 ounces was due to lower tons processed during the fourth quarter as a result of higher-than-expected downtime in order to conduct unplanned repairs. Mining activity totaled 10.8 million tons in the fourth quarter of 2024, modestly higher than the prior quarter, bringing the total tons mined for the year to 39.3 million tons, with an average strip ratio of 2.62:1. The average grade of mined ore was 0.97 grams per ton, with reconciliations between the grade control and reserve models in line with expected tolerance. Within the pit, the mine currently has two CAT 6060 electric shovels and 21 CAT 793 autonomous haul trucks now commissioned. Utilization rates of the primary mining equipment have been improving, with the mine achieving a weekly average high operating rate of 150,000 tons per day in December. The current mine plan is using multiple stockpiles segregated by grade, as evidenced by the head grade of tons processed in the fourth quarter of 1.34 grams per ton, substantially higher than the mined grade. As we discussed last quarter, this strategy is proving to require higher-than-expected rehandling, which is flowing through our mining costs. Last year, mining costs averaged $3.90 per ton. This is higher than expectations due to the rehandling in addition to higher contractor costs to support the ramp-up of the mine. We expect to see unit mining costs decline as we operate with the full haulage fleet for 2025, coupled with the implementation of an optimized mine plan and a reduced need for external support. Mill throughput in the fourth quarter totaled 2.4 million tons, a 50% increase from Q3 as the plant continued to see improvement quarter over quarter. As the mine transitions from commissioning to production, at the end of Q1 of last year, our teams took the strategy of first testing the capacity of the main equipment in the plant to handle the design load, followed by building availability and stability as the ramp-up progressed. From early on, the primary components of the processing circuit—primary, secondary crushing, HPGR, conveyors, ball mill, leaching, etc.—proved their capacity to operate at or above design mode when provided with stable conditions. Further, we saw the recoveries of the plant come in line with expectations, averaging 92% for the first year of operation, a critical achievement for a new mine. As Côté continued to ramp up through the year, we were able to deploy key optimizations to stabilize the crushing circuit through the replacement of wear parts with higher abrasion-resistant material to reduce the level of wear and using new types and sizes of screens in the coarse ore screening area. These improvements allowed for further improvement in availability and performance of the secondary crushing and screening circuit, allowing for the plant to achieve multi-day performance above 40,000 tons per day in the fourth quarter. As the operating rate of the plant increases over longer periods of time, we require unscheduled yet not entirely unexpected equipment maintenance. For example, in December, the plant was operated at an average of 87% of design throughput level over a two-week period prior to a non-scheduled shutdown to split a conveyor belt associated with a design issue. Repairs were made to the belt and replacement with a modified design completed in January 2025. Subsequent to the quarter-end, the HPGR rollers demonstrated accelerated wear, necessitating a changeover ahead of schedule and limiting the secondary crushing capacity in January. The changeover of the HPGR rollers was completed in February 2025, with operating and maintenance procedures adjusted to maximize lifespan and optimize future changeover windows. Inside the plant, the grinding circuit was also impacted early in the quarter due to repairs required to one of the ball mills following a faulty starter post-maintenance. Prevention and mitigation procedures have been put in place, and the second ball mill is expected to be online later this month. Taken together, at a higher level, it is not unusual or uncommon to encounter these types of equipment issues during the first year of a ramp-up of large-scale mining operations, where the equipment is operating at an efficient level at varying rates and stress, all while maintenance schedules are being adjusted to real-world conditions. What is important is that we are seeing continuous improvement at Côté, increasing stability, availability, and operating milestones quarter over quarter. In 2025, we are forecasting production of 360,000 to 400,000 ounces of gold on a 100% basis, which means that Côté Gold would essentially double its ounces this year. Cash costs are expected to be between $950 to $1,100 per ounce, and all-in sustaining costs to be between $1,350 to $1,550. The cash cost guidance reflects the cost experience of the first year of operations, including higher levels of maintenance, contractor support, and continued improvement consulting. Costs are expected to lower in the second half of the year as targeted improvements are deployed and as production increases. The operating guidance assumes plant throughput of approximately 12 million tons in 2025, equating to an average of 3 million tons per quarter, comparing well with the Q4 throughput of 2.4 million tons, which was 50% above Q3. So, yes, we are confident in the next step and the next step up after the first quarter, which we have advised will be lower, after which we will step up into Q4. The end goal for Côté this year is to achieve nameplate throughput of 36,000 tons per day in the fourth quarter. This target will be aided by the installation of the second cone crusher, which will provide additional capacity and redundancy to the primary crushing circuit, removing the bottleneck from this area. Longer term, we will continue to pursue improvements in mining and processing activities, looking for low capital-intensive opportunities to increase processing plant capacity. As we have noted in the past, several components of the plant have been designed for 42,000 tons per day, and we have seen multiple days above 40,000 tons per day early on in the life cycle of the project. The addition of the second cone crusher later this year is aligned with our strategy of unlocking maximum value by monetizing the maximum number of tons of ore mined as they become available for processing. This strategy includes evaluating the potential to address certain aspects of our mining plan at Côté to shift over time from selective blasting and separation to a more bulk mining approach as the mill throughput capacity is unlocked. As currently designed, Côté, over the life of mine, is expected to average an annual ore mining rate of approximately 50,000 tons per day versus our current nameplate processing rate of 36,000 tons per day. So if we are able to find the right balance of increased processing rates and minimized stockpiles, we expect numerous efficiency advantages, including reduced rehandling, improved pit sequencing, and less reliance on segregation for the mine plan and more on maximizing mill throughput and monetization. Optimizing the processing and mining balance at Côté Gold is even more important as we investigate the potential options to bring into the mine plan the full resource base estimate of the Côté and Gosling zones, which combined for over 16.2 million ounces of measured and indicated resources and 4.2 million ounces of inferred resources, defining Côté Gold among Canada's largest gold mines in operation. Our exploration program on Côté and Gosling is ramping up this year, targeting resource conversion at Gosling in support of our technical report in 2026 that outlines a unified mine plan based on Côté and Gosling. Turning to Quebec, the transformation of Westwood has been among the best mining success stories in 2024, as the last few years of redevelopment and rehabilitation resulted in the successful turnaround of the mine, building safe and stable production, and cumulatively generating $94.4 million in mine site free cash flow for the year. Looking at operations, Westwood produced 134,000 ounces in 2024, above the top end of its increased revised production target of 115,000 to 130,000 ounces. Production in the fourth quarter of 2024 was 35,000 ounces, higher by 7,000 ounces or 25% compared with the same prior year period, primarily due to higher grades and an increased proportion of ore feed from the underground mine. Mining activity for the year totaled 1.02 million tons of ore, in line with the prior year. In the fourth quarter, the underground mine averaged 98,000 tons, or just over 1,000 tons per day, a record volume from underground since the mine restart at the end of the year, with an underground mine grade of 9.65 grams per ton. The improved volume from underground is a result of the completion of the underground rehabilitation and development work program, which has provided increased operational flexibility with multiple stop sequences available to mine concurrently at different levels and sectors of the mine. Mill throughput in the fourth quarter of 2024 was 267,000 tons at an average head grade of 4.34 grams per ton and an average recovery of 93%, with grades 11% higher than the prior year period due to the higher proportion of underground material. Plant availability in the quarter was 88%, 10% higher than the same prior year period, with the successful completion of the annual mill shutdown in November. The margins for Westwood continue to improve with a strong gold price and stabilizing costs. Cash costs averaged $1,148 per ounce, and all-in sustaining costs averaged $1,688 per ounce in the fourth quarter, positioning the mine in the middle of our assets. Looking ahead to this year, Westwood production is expected to be in the range of 125,000 to 140,000 ounces in 2025, as mining activities continue the underground ramp-up towards achieving 1,000 tons per day at a stable state while targeting multiple active mining areas and minimizing open-pit activity from the Grand Duc. The current plan is to complete mining in the Grand Duc open pit by the fourth quarter of 2025, though Grand Duc stockpile material will continue to be mill feed into 2027. However, should gold prices remain where they are, I believe there is a strong potential for further expansion and extension of the Grand Duc open pit, which will be investigated this year. Costs this year are expected to be generally flat, with cash cost guidance for Westwood of $1,125 to $1,325 per ounce and AISC of $1,675 to $1,820 per ounce. Capital expenditure guidance is for approximately $70 million, mainly consisting of underground development and rehabilitation in support of the two-test mining, the continued renewal of the mobile fleet and equipment overhauls, and certain asset integrity projects at Westwood. Finally, looking at Essakane, it was a lighter quarter at the mine with production of 80,000 ounces in Q4, yet Essakane still achieved the top end of its guidance range, which was increased midyear, with the mine producing total annual production of 409,000 ounces versus guidance of 380,000 to 410,000 ounces. Mining activities totaled 12.4 million tons in the quarter, with 2.2 million tons of ore mined, resulting in a strip ratio of 4.7, which is relatively high versus recent history as the mine fleet targeted capital stripping activities intended to secure access to ore on deeper benches of phase seven in support of the 2025 and 2026 mine plan. Mill throughput in the quarter was 2.9 million tons at an average head grade of 1.07 grams per ton. Throughput was slightly lower in Q4 due to the scheduled maintenance during December. Average head grade decreased in the fourth quarter compared to the first half of the year, in line with the mine plan as mining activity prioritized waste stripping sequences, resulting in increased supplementation of the mill feed from available ore stockpiles. On a cost basis, Essakane reported relatively high Q4 costs, with cash costs of $1,501 per ounce and AISC of $2,118 per ounce. This came in relatively high due to the planned lower quarterly production, annual scheduled maintenance activity, higher realized fuel prices, and higher supply chain and transportation costs impacted by the security situation. Despite this, total annual cash costs were $1,179 and AISC were $1,625, both within guidance range of $1,175 to $1,275 and $1,575 to $1,675 per ounce, which were lowered in the midyear. Looking ahead, Essakane is expected to produce 360,000 to 400,000 ounces on an attributable basis at a cash cost of $1,400 to $1,550 and an AISC of $1,675 to $1,825 per ounce. Mining activities are expected to complete mining in phase five in the first half of the year, with the bulk of the mined material coming from phases six and seven. With mining moving into the primary zones of phases six and seven, capitalized waste stripping is expected to be relatively lower in 2025, with a total capital expenditure guidance this year of $115 million. The plant is expected to operate at throughput and head grade in line with the current life of mine plan as per the December 2023 43-101 technical report. While the cost of operations in-country have risen over the last two years, Essakane is positioned to generate strong cash flow with an expected decrease in waste stripping expenditure year over year. I also want to congratulate the exploration team as we announced an updated mineral reserve and resources estimate yesterday in which Essakane more than replaced its reserve depletion, with current estimated reserves of 2.3 million ounces, and managed to grow measured and indicated ounces by 15% to nearly 100 million tons grading 1.24 grams per ton for a total of nearly 4 million ounces. Taken together, this strong result from the drill bit suggests the potential for further mine life expansion within the secured perimeter of operations at Essakane. Finally, and on the topic of notable mineral resources change, yesterday, we also announced an updated mineral resources estimate for our 100% owned Nelligan project located approximately 45 kilometers southwest of Chibougamau, Quebec. The updated estimated mineral resource of 3.1 million indicated gold ounces in 103 million tons grading 0.5 grams per ton and 5.2 million inferred ounces within 166 million tons grading 0.6 grams per ton. This represents a 56% increase in indicated resources or 1.1 million ounces, with an increase in grade of 13%, as well as a 13% increase in inferred resources or 1.3 million ounces, with a similar 14% increase in grade. This update demonstrates the remarkable prospectivity of this asset, demonstrating rapid growth in ounces and an improvement in grade from a relatively conservative drill program that totaled only 23,400 meters over the last two years. When combining Nelligan with the high-grade satellite Monster Lake deposit, there are nearly 9 million ounces of resources in this mining camp already, positioning Nelligan at a relatively early stage among the largest gold projects in Canada with significant potential for further growth. This year, we are increasing the scope of our Chibougamau regional program with a plan for 30,000 meters of diamond drilling, testing the extension of mineralization at Nelligan, as mineralization remains open along strike and at depth. Further, a drill program will be conducted targeting high-grade structures underground at Monster Lake, which has seen minimal modern exploration in the last few years. It is definitely early stage, but there is no question the value that Nelligan can offer as a growing large-scale gold asset in a very mining-friendly jurisdiction in Canada. So thank you all, and I look forward to an exciting year ahead. With that, I would like to pass the call back to the operator for the Q&A portion of the call. Operator?
Operator: Please pick up your handset before pressing any keys. The first question comes from Anita Soni with CIBC World Markets.
Anita Soni: Good morning, Renaud and team. A question on some of the challenges that you have had in January with the HPGR and some of the other crushers. You did issue guidance in January. Can you let us know whether or not your January guidance would have encompassed some of the issues you are encountering? I am just trying to understand the timing of these issues and whether or not we should be a little bit more conservative than what you had previously put out.
Renaud Adams: No. I mean, when we issued our guidance, we were absolutely in possession of all the information. We knew about the repair on the belt. We knew the repair of the guardrail, so that was all accounted for. We knew that we would change. It was already planned, anyway, to do a changeover of the rolls on the HPGR. So it was just advanced, but it is the same. So as a result, and as I just mentioned, we see Q1 a little lower than the rest, but we are going to pick up and increase with more tons processed in the second half. But no change, and we remain very confident about our guidance.
Anita Soni: Okay. That is good to hear. I did have to see one lower with the changeovers happening.
Renaud Adams: Yeah. Yeah. And then in terms of the, sorry, the Oh, what was my question? Oh, sorry. The mining rates. How do you see that evolving over the course of the year?
Renaud Adams: We actually there yeah. There exist. As I mentioned, we were roughly in the 40 million mark for the 2024, the first year, successfully commissioned through the three additional trucks. We have already seen a pickup in the tons mined. Had a wonderful week in December at 150,000 tons. So to achieve 48 million tons this year is, like, moving from the previous average. It is about 10 million to about 12 million per quarter. We absolutely see this achievable. So we will see in Q1 because it is still in a ramp-up in the commissioning of the full commissioning of the trucks. But definitely, we see we have the capacity and the equipment, of course, to achieve our 48 million tons this year.
Anita Soni: Okay. That is it for my questions. Thank you.
Renaud Adams: Thanks. The next question comes from Tanya Jakusconek with Scotiabank. Please go ahead.
Tanya Jakusconek: Good morning, everybody. Thank you for taking my questions. And I am just going to follow up from Anita's question on Côté. So just wanted to circle back, Renaud. Just as we think about and maybe just a bit more detail as we go through the quarter. So Q1 is weaker because of these changeovers that happened at the mill. Was anything else planned or is planned for downtime in Q2, Q3, Q4? As you do some additional repairs and or turnovers, I think there was something coming in later in the year as well that may have some downtime. So just trying to understand should I be thinking you had mentioned 3 million tons per quarter. But how should I be thinking of each quarter?
Renaud Adams: Yeah. I will ask Bruno to add a bit of color to this, but obviously, you know, like, as for the HPGR per se, that was an advancement from Q2 to Q1. So no real difference, but Bruno can get after this.
Bruno Lemelin: Thank you, Renaud. Good morning, Tanya. Good morning. Exactly what Renaud just mentioned, the roll replacement for the HPGR was scheduled to take place in May. Now we are understanding the wear pattern better. The other major shutdown is going to be the one in August, the annual shutdown. But with the wear pattern that we are seeing at the moment, it is very likely it is going to be shorter than expected also. Because we are seeing a wear pattern that is less aggressive than expected, so this is where we are right now, Tanya. We are understanding and learning the wear patterns of all our primary components. So the HPGR was a little bit faster, and the ball mill seems to be holding very well right now. Other than that,
Tanya Jakusconek: So if you were to think about the quarter, would Q1 be the weakest, Q4 be the strongest, and do we see a progression upward, or are Q3 and Q2 equal? I am just trying to understand with this downtime in August.
Bruno Lemelin: Yeah. Because in Q2, you want to do the HPGR rolls replacement. So, essentially, Q2 is going to be higher than Q1, and after that, Q3 will also pick up in speed.
Tanya Jakusconek: Okay. So you will So are you going despite all of these changes and things, you will see quarter over quarter improvements. Is what you are saying?
Renaud Adams: That is correct. Probably Q2, Q3 closer to each other for different reasons, but definitely Q1, the lowest, and Q4, the best. And as you say, like Q2, Q3, hopefully, Q3 a little bit more than Q2. We will be starting installations of the second crusher by mid-Q3, mid-Q2, early Q3. So should be minimal disruptions, but there is always some time to be done. So on that basis, you could argue that Q2, Q3 should be very similar or close to, but Q4 definitely should be our strongest.
Tanya Jakusconek: Okay. And anything else on the critical path that we need to be aware of as we go through the year besides these changes that you have mentioned? Anything else? I mean, the mining, you know, we have got the three new trucks that are there about coming in. That is going to help on the mining front. But anything else that we should be aware of?
Renaud Adams: It is really all about the stability, Tanya, and I appreciate you know, like, during the commissioning, you know, every quarter, you know, unfortunately, this happened and so forth. But as Bruno mentioned, I think we have learned enormously from this. And, basically, it is all about okay. Of course, you have that design criteria of how many hours you should do, you know, and so far and the wear pattern and so forth, and you need to adjust some equipment, of course, maybe less familiar with some operators and more training. But globally, I think we have gone through the whole cycle. From the crushing to the grinding to the leaching, you know, and and green mine. I think we have gone through the whole cycle. We have a much better understanding of each of the equipment. So it is all about stability. So to answer your questions, we feel strong about the 48 million tons we are already seeing, you know, improvement in the pit, and as I have discussed, we will be less skewed and and and and supersurgations and allow for more performance and productivity of the pit. So we feel very strong. With the mining. And when it comes to the mill, it is really out of our possibility at this stage. And so we are really looking forward now with the last repair of the early mill to really push the gas. And crank up the tonnage. And and go for more stability and higher availability. And with that, you know the capacity is there. So as you are pro to 90% plus availability, you will be there. There is no capacity issues. It is just the stability matters. So so quite a long answer, but I thought I would clarify.
Tanya Jakusconek: Okay. No. Thank you for that. And then I am just wondering on Essakane as well as you moved from this phase five into six and seven this year and and and yet there is less stripping. How does the profile look for the year there? I am just trying to understand overall for the company, how does the year progress? Does it that we start with, you know, a lower Q1 overall for the company and get to a higher Q4. I am just trying to get an understanding if there is any variability in Essakane and Westwood as well.
Renaud Adams: Yeah. Thanks for that question, and and the opportunity to clarify a bit because absolutely. So unfortunately, you know, at the same time, Q1 is a bit of a the quarter for for for Côté, you know, get a repair, the first half, and so forth. At the same time, we are entering phase six and seven. And and we have more than one discussed, you know, the the performance on the great reconciliation has you enter new faces at a very early stage versus when you are well established. And we have seen that in 2023, 2024 with phase five. We still have a phase five until probably midyear. But we are entering phase six, phase seven with a little bit slower, you know, on and less productive and great. So as a result, we we see Essakane potentially on target, but because of the six, seven, it could be that Essakane is slightly lower under Q1. And the pickup after that for the rest of the year. But originally, we were seeing about the same. But it could be possible that Q1 is slightly lower. And then the rest of the year.
Tanya Jakusconek: Okay. That is helpful as well. So it kind of looks that, you know, you probably are seeing that quarter over quarter improvement for the company overall in 2025.
Renaud Adams: Okay. Good. So it is a fair comment.
Tanya Jakusconek: Okay. And if I could just squeeze one more in, and it just is more strategic question for you. You know, just you you you mentioned, you know, over 90% of your M&I and inferred resources all sitting in Canada. And as we get, you know, Gosselin mine drill program study and then a better understanding of the mine plan for the whole complex. How do do you think it makes sense to keep Essakane within IAMGOLD Corporation? You know, you would then have your cash flow coming and do you think that by selling Essakane, remaining a totally Canadian company, you would get a better valuation.
Renaud Adams: I think you are talking about something that belongs more to the looking forward type of thing and yeah. You know, we are very pleased. At Canada. The truth is that we know, we have discussed numerous times, you know, the the strategic approach with Essakane and and, you know, they are we are looking at delivering our balance sheet in 2025, 2026. Strong free cash flow. Well, it is all about, you know, stability. Right? And, we we had a very strong 2024. We had no interruptions in our productions and that we have delivered in all metrics. To be very frank, you could argue, you know, that we have seen more stability in Essakane than a lot of large American banks, if you are. Take care. So I will not really comment on the details of our plan. What I know is that we have strong belief that Essakane will be a strong free cash flow producer and will make a huge difference for us for 2025 and 2026. As we are significantly improving our balance sheet. The rest belongs to stability, how things evolve, and so forth. So there is there is a lot at stake here. But we feel very confident to deliver another strong 2025.
Tanya Jakusconek: Okay. That is a fair comment. Thank you very much for taking my question.
Renaud Adams: Thanks.
Operator: There are no further questions. I will now hand the call back over to Graeme Jennings for closing remarks.
Graeme Jennings: Thank you very much, operator. And thanks everyone for joining us this morning. As always, should you have any additional questions, please reach out to Renaud or myself. Thank you all. Be safe and have a great day.
Operator: This brings to a close today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.